Operator: Greetings, and welcome to the Perma-Fix Environmental Services’ First Quarter 2016 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to your host, Mr. David Waldman with Crescendo Communications. Thank you. You may begin.
David Waldman: Thank you. Good morning everyone and welcome to Perma-Fix Environmental Services first quarter 2016 conference call. On the call with us this morning are Dr. Lou Centofanti, CEO; and Ben Naccarato, Chief Financial Officer. The Company issued a press release this morning containing first quarter 2016 financial results, which is also posted on the Company’s website. If you have any questions after the call or would like any additional information about the Company, please contact Crescendo Communications at (212) 671-1020. I’d also like to remind everyone that certain statements contained within this conference call may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All statements on this conference call, other than statements of historical fact are forward-looking statements that are subject to known and unknown risks, uncertainties and other factors, which could cause actual results and performance of the Company to differ materially from such statements. These risks and uncertainties are detailed in the Company filings with the U.S. Securities and Exchange Commission. The Company makes no commitment to disclose any revision to forward-looking statements or any facts, events or circumstances after the date hereof that bear upon forward-looking statements. I’d now like to turn the call over to Dr. Lou Centofanti. Please go ahead, Lou.
Dr. Lou Centofanti: Thank you, David and welcome everyone. Let me start by saying the Company is now on track for one of the most transformative events in the Company’s history, and I’ll talk about that -- about this in a moment. But first, I’d like to discuss the weak results for the quarter. Although the numbers were weak, it was subdued in large part to timing and we expect a very strong second half of the year, based on contracts and orders in hand. As a result, we also anticipate another strong year in 2016. Regarding our results for the quarter, funding that came in late in the government budget had a short term negative impact on spending as the site contractors struggled to re-baseline the numbers. Essentially, they required additional time to prioritize the increased spending that delayed several large waste treatment shipments that were pushed down to later in the year. These delays occurred as expected along with other logistical delays for our customers that we did not expect. Nevertheless, we’ve begun to receive some of these shipments which should boost our treatment sales beginning in the second quarter and even more so in the third and fourth. As I said, we’re planning for a very strong second half of the year. In addition, to our waste treatment business, which we anticipate will continue to grow in 2016, now, I’d like to talk about rather significant event. Very limited in what I can say but I am extremely pleased to report that Perma-Fix has formed a team and they’ve been awarded an IDIQ contract by Department of Energy for up $8.6 million to demonstrate the treatment of high level waste by the end of the year. We believe this demonstration opens the door to a significant market opportunity, much larger than our traditional level waste market. Turning now to the services segment, again, we’re very optimistic. Revenue decreased in the first quarter compared to the same period last year due to completion of a large contract in December in the nuclear services area, but similar to our treatment segment, we’ve also had several new contracts that were slow to begin due to timing that impacted the first quarter. We’re now seeing these projects ramp up and receive additional awards that are yet to begin. As an example, we were recently selected by the Navy as part of a winning team a $240 million five-year contract for environmental remediation at various naval installations. We have not yet started the work on this project but are optimistic will provide significant revenue in 2016. In addition, in February awarded six-month contract extension by KEMRON where we will continue to provide radiological support services to KEMRON at the 10-acre Safety Light Corporation site in South Center Township near Bloomsburg, Pennsylvania. We believe we were awarded these contracts due to our close working relationship with respective partners and the fact that we’re uniquely qualified with over 20 years experience characterizing, remediating, surveying radioactive material impacted sites. These contracts along with others, several fairly significant we cannot announce, highlight the opportunities we see going forward in our services segment. As a result, we expect solid growth in 2016 in our service business. Based on our current sales pipeline and improvement visibility, we expect to increase -- see increase in our adjusted EBITDA over the $7 million of adjusted EBITDA in 2015. As timing continues to be a concern, we plan to provide more detailed guidance on or before the next conference call. All of this does not factor in any of our opportunities related to the high activity of the waste streams. Turning now to the medical side of our business, our majority-owned subsidiary, Perma-Fix Medical S.A., continues to advance the new process to produce Tc-99m. We are considering a variety of options that will bolster the strength of the subsidiary, including both strategic and capital market options. We now have very good management and regulatory expertise that have been added, put in place and the feedback from within the industry from both, distributors and users has been very positive. We’re in active discussions with the number of potential partners, distributors, customers and look forward to providing additional updates in very near future. We will continue to make progress on the regulatory front that’s putting the Company on a more solid footing from a capital market perspective. As I said in the past, we believe we’re in a position to be a major player in this $1 billion market as our process is at lower cost and does not use weapons-grade materials, can be easily deployed in standard research and commercial reactors worldwide, thereby solving the global supply chain concerns for this critical isotope. To wrap up, we saw adjusted EBITDA nearly double in 2015; for 2016, we anticipate continued growth in both our treatment and service segments. So, although timing has had an impact in the first quarter and start of the second quarter, we anticipate a very strong second half of the year; I can say this confidently based on orders in hand. With our recent demonstration project, we will begin -- the treatment of high level waste could be a real game changer. We look forward to keeping you apprised of these developments as they unfold. I’d like to now turn the call over to Ben who will go into more detail on the numbers and then I’ll be back to answer questions at the conclusion of our formal remarks. Ben?
Ben Naccarato: Thank you, Lou. Starting with revenue, our total revenue from continuing operations for the first quarter was $10 million compared to last year’s first quarter of $13.6 million, a decrease of $3.6 million or 26.2%. The decrease in revenue was the result of the shortfalls in both our operating and -- in both of our operating segment. Timing delays of waste shipments in the treatment segment resulted in both, lower volume at our waste treatment facilities, as well as the lower average price related to revenue mix. Revenue from the services segment was impacted by the completion of certain large contracts and the delay in the start-up of the new projects. Turning to cost of goods sold, our total cost of sales was $10 million in the first quarter compared to $12.1 million in the prior year. Our treatment segment cost of sales was down by $1.2 million, as a result of the lower volume of waste treated and reduced fixed costs of $361,000. Costs of sales from the service segment were down $946,000 from year, reduced project revenue resulted in low related project expenses. Our gross profit for the quarter was $34,000 compared to $1.5 million in 2015. Gross profit in our treatment segment decreased by $1.4 million compared to prior year. Our facilities carried a relatively large fixed cost burden and the lower revenue such as we had in the first quarter, failed to produce the incremental profit to cover these costs, so the negative gross profit out of our treatment facilities. Similarly, low revenue in the services segment resulted in a minimal gross profit. Our SG&A costs for the quarter were $3.1 million, up from $2.8 million last year. We had increased marketing, and bid and proposal type expenses, which offset a reduction in our administrative cost related to lower consulting and professional services. Our loss from continuing operations for the quarter before taxes was $3.8 million compared to $2 million last year. Included in these costs are costs of $438,000 and $395,000 related to our medical isotopes segment for Q1 ‘16 & ‘15 respectively. Our loss applicable to common shareholders was $3.8 million compared to last year’s net loss of $2.1 million. Again, included in these losses are costs of $438,000 and $395,000 related to the medical isotopes segment for Q1 ‘16 and ‘15 respectively. Our total loss per share for the quarter was $0.33 compared to the loss of $0.18 in the prior year. Our adjusted EBITDA from continuing operations, as defined in this morning’s press release, was a loss of $2.3 million compared to a loss of $441,000, last year. Turning to the balance sheet, our cash was down $736,000, primarily from debt payments, totaling $783,000. Our current receivables, both billed and unbilled were down $2.6 million as a result of lower revenue in the quarter. Our waste backlog was $4.9 million compared to $4.7 million at year end and $6.4 million in March of ‘15. Our current debt excluding our debt issuance costs was $1.8 million down $626,000 from year end and lower than prior year’s first quarter by $1.9 million. Our total debt again excluding debt issuance costs at quarter end were $9.2 million, $8.6 million of which is from our PNC lender and 600,000 from a shareholder loan. Finally, I’ll summarize our cash flow activity in the first quarter. Our cash provided by continuing operations was $251,000; our cash used by discontinued operations was $184,000; cash used in investing was $24,000 of which $9,000 is for capital spending; and cash from financing was $719,000. Finally, I’m going to address our notification of late filing of our Form 10-Q. As covered in our covenanting in our credit facility requires the Company to maintain a fixed charge ratio of 115 to 1 to remain in compliance. We failed to achieve this in the first quarter due in part to the aforementioned delays impacting our top line revenue. We’re in discussions to receive a waiver from our lender for this breach. Unfortunately, our bank was unable to finalize the waiver prior to the filing deadline, requiring us to file the extension. We do expect to receive this waiver prior to the end of the extension period at which time we’ll file our 10-Q. Additionally, our amendment to our loan agreement signed March 24, 2016, significantly reduced our monthly loan payment, which will help in maintaining this covenant in the future. With that, operator, I’ll now open the call to questions.
Operator: [Operator Instructions] Our first question comes from Monish Bahl with MHB Capital. Please proceed with our question.
Monish Bahl: Thank you and good morning. Just two quick questions, one is with regard to your bookings. You talked about some slippages. Were you able to actually book those contracts, and if you so, can you disclose that number?
Dr. Lou Centofanti: They are waste shipments and they vary. It’s a number of different shipments. And in total, probably the slippage -- the unexpected slippage was probably in the $2 million to $3 million range. And again, it’s timing, it’s facilities telling us that this coming but struggling with transportation issues and logistic type issues, like that. So, easily $3 million, but again, it could have been more, could have been less.
Monish Bahl: Okay. And then can you elaborate more on that high level contract you talked about, Lou, you mentioned in your opening remarks, please, may be talk about the timing and when the fruition of that contract to come to be realized?
Dr. Lou Centofanti: The contract actually demonstrates treating high level waste and to -- it’s really to treat commercial quantities at a fairly small amount but to demonstrate the process we would go through and to lay out the course. Our part would be not real significant, maybe 1.5 million [ph] of the contract to actually carry out the treatment, the variety of it is more laying out the rules, laws and how we would do it and to actually treat and have waste in the ground by the end of the year.
Monish Bahl: When did that treatment begin? It began in Q2 or Q3?
Dr. Lou Centofanti: It’s already started. It started immediately. Now, the treatment, again, this is much of a logistical exercise and laying out all the detail, the laws and rules and how it’s going to be done.
Ben Naccarato: So that part has already begun.
Monish Bahl: Just last question, so you’re starting already and then you will not know if you’re successful because of logistics of other third parties till the end of the year, is that what you are saying?
Dr. Lou Centofanti: We are pretty confident we’ll be successful. This looks like -- for those of you that follow know, we’ve been proposing this almost for 10 years. So, we have very defined course that’s laid out, we’re very confident will work. And like I said we -- go ahead.
Monish Bahl: Good luck. Thank you.
Operator: Next question comes from Robert Mannyng, [ph] a Private Investor. Please proceed with your question.
Unidentified Analyst: Certainly on the detail, you might feel free to give us on this contract. I think you mentioned that the total amount of contract was $8.6 million. And then, it sound like 1 million to 2 million is our part for treatment. Are we a sub to somebody else? What can you tell us about the part of this $8.6 million that’s not for treatment; is that go to us for planning or whatever you’re free to tell us about that I’d be interested in?
Dr. Lou Centofanti: We’re part of the prime and the prime contract. We would -- most of it goes to the paper work that’s required to do what we’re about to do the layout and to filling all the details and demonstration. Our main part is the treatment of it. And finally, it will also then be disposed of and disposed [indiscernible]. We’re part of the prime and obviously it is a partnership LLC type arrangement for the prime contract. So, it flows all through our -- all the money will flow through the prime contract but it’s very part of it, but we won’t recognize those parts that are not ours.
Unidentified Analyst: Okay. So what we will recognize is this is a range of $1 billion to $2 billion?
Dr. Lou Centofanti: Yes, correct.
Unidentified Analyst: You said this has already started, does that mean we’re already treating waste or we’ve got the paper work rolling?
Dr. Lou Centofanti: Yes. You’ve got to really do studies and lay out a plan on how it’s going to work.
Unidentified Analyst: But the idea is that we would actually be treating waste by the end of the year, is that -- do I understand that correctly?
Dr. Lou Centofanti: Correct, yes.
Unidentified Analyst: Okay. And will it all be done by the end of the year or we just get started in -- and I am wondering in line with your earlier question…
Dr. Lou Centofanti: No…
Unidentified Analyst: When do we find out if they agree that we have succeeded?
Dr. Lou Centofanti: By the end of the year; it should be complete by then. We should easily be able to see this by the end of the year.
Unidentified Analyst: Now, we are usually a subcontractor, is this being sort of co-planned contractors, is that new and unusual for us?
Dr. Lou Centofanti: Not for smaller contracts like this. We are usually a subdued primes when its $50 million or greater. So, in general, in this case with smaller contracts, we usually prime them. It’s more of contract management size that’s usually a limit for us than the type of project.
Unidentified Analyst: Now, if this does go ahead and becomes much larger, would we be a sub to somebody else or would we continue in this prime role?
Dr. Lou Centofanti: We would continue as the prime.
Operator: Our next question comes from Evan Greenberg with Legend Capital Fund. Please proceed with your question.
Evan Greenberg: Yes. What makes this waste [ph] unique and how large is the opportunity after this treatment from the waste wood? [Ph]
Dr. Lou Centofanti: What makes us unique is this high level waste. When you read the paper about that nobody knows, we can’t do anything with anything on the nuclear side, it only pertains to high level waste. And the inventory that’s easily treated throughout today is somewhere between 50 and a 100 million gallons at the various sites; so we’ll be treating about 50 gallons.
Operator: Our next question comes from Al Shams [ph] with American Capital Partners. Please proceed with your question.
Unidentified Analyst: Hey, gentlemen, good morning. Ben, are we going to be -- are we going to have to see any kind of a fee to get this waiver from the bank?
Ben Naccarato: In the past, we have, it’s somewhat minimal. As of right now, they have not informed us of any, but it’s always our history we have seen a minimal in the 10 to 20,000 range.
Unidentified Analyst: And Lou without getting too technical, what gives you confidence that our approach will succeed where so many others have failed?
Dr. Lou Centofanti: Well, in simple term -- I mean I think the answer is from the chemistry point of view, we’re very optimistic that what we’re doing. And part of the answer is that what we’re doing is really treating a very large -- if this works, we’ll be able to treat a very large fraction very simply of high level waste. There will still be a small fraction that probably would meet some very unique treatment that with time we could develop, but what our first proposal is to treat the very simple portion of it, which is may be 80% of the volumes. So, that’s why we’re very confident. We’re looking at material that from a chemistry point of view is one way very simple to treat and continue to be a small fraction that will need very specialized treatment….
Unidentified Analyst: What do you think [multiple speakers].
Dr. Lou Centofanti: It’s just we haven’t focused on that part.
Unidentified Analyst: Okay. Why do you think it’ alluded to many others?
Dr. Lou Centofanti: We have some -- really there is two parts to this. We have the technologies and experience after all these years of treating radioactive waste and also we have facilities that are extremely capable and licensed and permitted that could do it. So, you have a very unique combination of technology, expertise, experience and facilities that don’t exist other places.
Unidentified Analyst: Would it be safe to say that you’ve spent good part of your career over the last 10 to 15 years working on this effort.
Dr. Lou Centofanti: You’ve heard me talk about it over the years and it’s sort of been my dream. And it’s the biggest step we’ve been able to take. And it’s -- I am under limit on what I can say and probably it’s gone too far already. But the size and the importance of this contract from a legal point of view made it necessary that we say something, at least say something about. And so, it’s you can tell on my hesitancy, I am walking a fine line here.
Unidentified Analyst: Okay. I understand. Okay, god luck Lou to you and your team.
Dr. Lou Centofanti: Thanks for calling. Thank you. I hope we are not [ph] falling off the wire but from a legal point of view and the information point of view we [multiple speakers]
Unidentified Analyst: I understand. Thank you.
Operator: Our next question comes from Doug Dyer [ph] a private investor. Please proceed with your question.
Unidentified Analyst: Three or four weeks ago, Hanford reported more leaks, and what I’d like to know is does this cause a sense of urgency on part of the Department of Energy to move forward quicker? And is this waste that leads to the high level waste that you’re referring to?
Dr. Lou Centofanti: There has been a series of events throughout the facilities, not only at Hanford but at other sites where there is high level waste. And there is tremendous concern as the tanks at Hanford that are leaking you’ve got concerns about the progress that’s been made. And also just I think more importantly, there is -- we’ve made advances in how to treat this in a much simpler way that could dramatically help DOE’s efforts that with the various projects they’re doing. So it’s a real complement to where they want to go. So, I think it’s just a combination of things has convinced them the advances in technology, advances in our expertise and the way this might fit into their overall program for dealing with high level waste. So, I think there is just a combination of events that have occurred across the whole complex, Hanford has just been one of them because there is also a major effort at Savannah River to treat high level waste. So, there are very significant volumes with material that our technologies and our expertise to play a major role in.
Operator: Our next question comes from Sam Rabotski with SER Asset Management. Please proceed with your question.
Sam Rabotski: As far -- did I understand you say that you’re only going to treat 50 gallons out of 50 million to a 100 million gallons potential?
Dr. Lou Centofanti: Yes, you’ve got to start small.
Sam Rabotski: Okay.
Dr. Lou Centofanti: It’s upgraded and then a small scale.
Sam Rabotski: Okay. And as far as -- are we able to name the person we’re working with or is that we’re unable to? Okay. Now, recently one further thing, this type of thing that they are going to test us, is this something that Kurion has been doing in Japan, and if we demonstrate our abilities we could do what Kurion has been demonstrating?
Dr. Lou Centofanti: No, this is totally different from what’s going on there with Kurion in Fukushima and they are doing just simple separation of isotopes in water. This is a much more significant, broader project.
Sam Rabotski: So, this is more complicated than what they are doing?
Dr. Lou Centofanti: It’s different. From our point of view, actually to be honest with you, we think it’s fairly simple but no one else does.
Sam Rabotski: Is the money that’s coming for this, there was recent bill, either that was passed Congress in the last week or two with -- I don’t remember how many billions are involved; is this relative to what jus came out of Congress?
Dr. Lou Centofanti: No, this was money already allocated in the past budget.
Sam Rabotski: Okay. So recently, there were some I think some significant bills for clean-up in waste; is there any monies that we’re going to be able to bid for again on the -- I don’t think it’s been signed by the President, but I think it came out of Congress in the last couple of weeks, multi-billion dollars for waste.
Dr. Lou Centofanti: We were very pleased with the funding in Congress for all the various projects. It did increase the markup on the clean-up program and has allocated it in a little bit more to make us happy. So, in terms of all the work we’re doing across the board, we see we were pleased with the budget, more pleased with the budget than it has been. So, but this has nothing to do with Congress what we’re doing today.
Sam Rabotski: Okay. So, there is going to be more contracts for us to bid on. Are you able to quantify the number of contracts or a dollar value on contracts that you might bid on?
Dr. Lou Centofanti: We’re seeing tremendous activity right now. Again, it’s unfortunately many of our contracts we can’t discuss. And we have several significant -- the service group is ramping up very nicely and it’s extremely busy. And we’re seeing a variety of new opportunities on the service side. And we in fact in terms of where we’re going is I’m hoping here in very near future will be adding some fairly high level staff that will come in with tremendous expertise in these areas. And hopefully we’ll see that in the next couple of weeks, some announcements on that. And so we see great opportunity here. And so, our nuclear business seems to be ramping very nicely. The timing is not quite what we like, because you see the results being never counting [ph] to ship it to us when we would like it but the waste side is ramping up and service business is -- we see a very rich environment right now for bids and opportunities.
Sam Rabotski: You indicate that you anticipate increase in adjusted EBITDA for the full year 2016 compared to 2015. Do you expect to be profitable for 2016 or what are your thoughts there?
Dr. Lou Centofanti: Our thought is that we would be. If we hit the higher EBITDAs like we expect, we would be profitable.
Sam Rabotski: Okay, great. All right, good luck, Lou. Hopefully, you show them how it works -- supposed to be done.
Dr. Lou Centofanti: We are heading that way. Thank you, Sam.
Operator: Our next question is from Jon Gruber with Gruber McBaine. Please proceed with our question.
Jon Gruber: Lou, I’m a little confused, your portion of this contract, there are 15% to 18%, 20% something like that. In future contract, is that -- what is the other guy doing, is there planning and stuff, like in future contracts, when you really do a lot of waste, will you be getting 75% of the contract or -- so what’s the other guy doing to get all the revenue?
Dr. Lou Centofanti: The first contract is skewed towards planning and laying out the rules, the laws and how it would work. So, it’s very much skewed to paper work. So, we have several consultants in there that are…
Jon Gruber: Okay. So, my question then is what kind of revenue, if things go right with the first contract, because you get in ‘17, on this contract?
Dr. Lou Centofanti: The contract would then go to more treatment and disposal, which would be almost 50-50.
Jon Gruber: And you would get how much, $20 million, $40 million, $3 million; what could if things go right, what it could be?
Dr. Lou Centofanti: It’s hard to project the cost. Present -- as we look at this, though, the prices would be somewhere in the $50 gallon range treatment.
Jon Gruber: And what’s your capacity for this kind of stuff, three year?
Dr. Lou Centofanti: It is very high.
Jon Gruber: 1 million gallon, what’s very high, I mean what’s very high, give us a little bit help here?
Dr. Lou Centofanti: We could do those kind of volumes, yes.
Jon Gruber: 1 million…
Dr. Lou Centofanti: With minor adjustments, we could do those volumes.
Operator: Our next question comes from Massimo Martini, [ph] a Private Investor. Please proceed with your question.
Unidentified Analyst: Hello, question for you with respect to -- first of all congratulations on this contract. Given the fact that the vast majority of the shareholders do not listen to this conference call and you’ve not made anything public until this day, do you think it’ll be appropriate to issue some type of press release talking about this? And I realize that you can’t name the other parties but I think given the fact that are you discussing on a conference call, I just think it would benefit 99% of the people?
Dr. Lou Centofanti: I really didn’t argue about delaying our call because my hope was there may be an announcement coming out by deal, which has not happened. So, at this point, it’s very hard for me to issue a press release.
Unidentified Analyst: Then how would -- again, I’m just going to not trying to be difficult but how do you expect that the vast majority of your shareholders, again, I don’t know how many people are on this call, but I have to believe, I have to believe that 90 plus percent of your shareholders would be interested in this. And I think that in spite of the fact that the DOE has not made an announcement, the fact that you’re even talking about on this call, I would assume means that you’re turning to say that it’s okay to talk about it which again -- I am trying to be difficult, Lou. All I’m saying is if it’s a transformative event, the vast majority of shareholders are not on this call, I just think you owe to -- and it’s a good thing, so it’s not a negative thing. I just think you owe to the vast majority of your shareholders at least make them aware of it, otherwise how would you expect them to be aware of it, given the fact that it’s material to the future of the Company?
Dr. Lou Centofanti: Well, it’s something I’ve struggled with and all I can say, I’m walking a tight rope of agreements signed...
Unidentified Analyst: So, you if you mention the contract would be -- do you believe that to even mention it or you can do it in an 8-K, certainly if you for whatever reason have a prohibition against putting out a formal press release, you can certainly do it in an 8-K. I just think that the fact that you’re saying that it’s a transformative event -- again just the last -- I am not trying to arguing, trust me. The fact that it’s a transformative event for the Company in your own words, I think that there is either an 8-K or some type of press release, again doesn’t have to mention your partner, which I am sure you’re restricted against talking about, I just think that personally I just think that it’s important that the remainder of your shareholders know about it. So, that’s all, anyway congratulations…
Dr. Lou Centofanti: I appreciate your comments.
Operator: Our next question comes from Bill Chapman with Morgan Stanley. Please proceed with your question.
Bill Chapman: I was curious, from Perma-Fix Medical that article went in the paper that the company is trying to go public here in U.S. by year-end. Have you guys hired an investment banking firm that would help facilitate the IPO?
Dr. Lou Centofanti: We’re presently interviewing investment bankers.
Bill Chapman: Okay.
Dr. Lou Centofanti: We’ve been discussing with several and we’re negotiating with several.
Bill Chapman: And you’re anticipating NASDAQ, did I hear that right or read that right?
Dr. Lou Centofanti: That was our thought, yes.
Bill Chapman: Okay.
Dr. Lou Centofanti: As all of you know, the way the market and everything else, so that’s we’re looking at all -- we are continuing to look at all options there in terms of continuing the funding of the medical division.
Bill Chapman: What are your other avenues and if you could address that please?
Dr. Lou Centofanti: I mean all the above, you’ve got strategics; you’ve got private money, you’ve got all sorts of options that we’re going down at the same time.
Bill Chapman: Okay. If the IPO route doesn’t work, do you have -- you mentioned few others, do you feel confident you will be able to raise money through prominent investors or strategics?
Dr. Lou Centofanti: Well, we feel confident in the end we’ll be able to do something. I hate to give you definitive answer here on what the various options. We’re keeping all open and we’re going down many paths, and it’s a major effort right now.
Bill Chapman: Okay.
Dr. Lou Centofanti: So, we’re able then to get to a point where we have a commercial product.
Bill Chapman: Okay. Are you looking to upgrade exchanges in Poland; would that be also accomplished?
Dr. Lou Centofanti: We’ve looked at that and explored that. That is an option. Although I hate to rate things, it’s probably lot lower on our option scale right now than doing something more even on the -- with the other options.
Bill Chapman: Is the market value on that exchange in Poland still around what $12 million to $14 million?
Dr. Lou Centofanti: Close. Yes it’s moved over the last month or so and it’s back in that range.
Bill Chapman: Okay. That seems like a bizarre evaluation for the technology you guys have.
Dr. Lou Centofanti: Yes, very much so, and that’s why we’re looking at various other exchanges and options.
Bill Chapman: Okay. All right; that’s everything. Thank you very much.
Dr. Lou Centofanti: Okay. Thank you.
Operator: Our next question comes from Monish Bahl with MHB Capital. Please proceed with your question.
Monish Bahl: Yes, Lou, just two more quick follow-ups, one was the drop in services revenue, won’t think that being more stable given the fact that’s recurring in nature. Is there any reason why it dropped so much; was it all tied to the treatment?
Dr. Lou Centofanti: No, the service side, we have contracts that come and go. So, in general, it is more stable, but the first quarter was sort of the perfect storm, everything seemed to go haywire for us in the first quarter and we ended at fairly significant contract in the first quarter. Now, we have several that we see picking that slack up that we’ve won but in the first quarter it didn’t occur; it was -- so there was timing issues that were negative on both on the waste side and on the service side.
Monish Bahl: So…
Dr. Lou Centofanti: Service now has picked pretty significantly as we sit here. So that’s our current.
Monish Bahl: Okay. I don’t want to keep going and beat the dead horse. With regard to how are you going to disclose the progress on this contract, are you going to give us updates on a quarterly basis or is there something you can do in between as far as how the public contract’s progressing?
Dr. Lou Centofanti: No, I think we can continue to update, just it’s hard for me to do a press release, that’s all.
Monish Bahl: Sure, okay. No problem, okay. Thank you so much, I appreciate it.
Operator: Our next question comes from Sam Rabotski with SER Asset Management. Please proceed with your question.
Sam Rabotski: Yes, hi Lou. Just a follow-up, I think Seeking Alpha will transcribe the conference call, which will publicize the announcement but also to the extent that you File an 8-K of the conference call, does that achieve the same thing of notifying the public of the information that’s presented here and that could be basically very -- once the information is transcribed, that notifies everybody what is going on? It’s just a suggestion.
Dr. Lou Centofanti: Okay, Sam. Thanks.
Operator: Our next question comes from Bill Chapman with Morgan Stanley. Please proceed with your question.
Bill Chapman: One more question. The process that you came up with to treat the high level waste, is that patented?
Dr. Lou Centofanti: No. We never -- processes in general are hard to present. It’s really -- the barriers to entry there are the proprietary permits, licenses and expertise. It’s one thing to say you can do [indiscernible] actually done. So in general, we don’t patent processes.
Bill Chapman: Okay. Thank you. And one last question, this process, is this a lower cost process versus the process they use in Japan?
Dr. Lou Centofanti: Remember, Japan is not treating the high level waste; they are treating high activity waste like we treat every day. So, what they’re doing in Japan is just taking water and removing caesium and strontium. We can do that every day. So, what we’re doing is taking -- this is totally different than Japan.
Bill Chapman: Okay.
Dr. Lou Centofanti: We can do the Japan stuff every day.
Bill Chapman: Didn’t a company -- the company doing that work, didn’t a private equity company invest in that company at a substantial premium that’s doing this work in Japan?
Dr. Lou Centofanti: Yes, very much so. And it was just sold to [indiscernible] for an extreme premium.
Bill Chapman: That makes us wonder what we’re worth and if you’ve got something that just for thought here, so I think you could tell me.
Dr. Lou Centofanti: Yes, it’s tremendous difference in valuation.
Bill Chapman: Yes, exactly it. Okay. Thank you very much.
Dr. Lou Centofanti: Yes.
Operator: There are no further questions. At this time, I’d like to turn the call back to management for any closing comments.
Dr. Lou Centofanti: Once again, thank you everyone for participating first quarter call. We have improved visibility, primarily as it relates to government spending, anticipated solid growth in treatment and service in 2016, and we’re pursuing several large contracts in the service segment, which we hope to announce in the near future. So, we have growing number of opportunities in the treatment segment including our recent demonstration project for high level waste. It’s a very significant opportunity for Perma-Fix. I’d like to thank you all for our continued support and we look forward to providing additional updates. Thank you.
Operator: This concludes today’s conference. Thank you for your participation. You may disconnect your lines at this time.